Henrik Badin: Good morning, and welcome to Vow's third quarter presentation. Tina and myself will today give you an update on our third quarter financial performance and status of the business and outlook. And after the presentation, there will be a Q&A session where also the online audience are able to ask questions. But let me -- before we start, let me reflect a bit on the situation we have been through. The last 12 to 15 months have been extraordinary for Vow. Extraordinary challenging, I would say, for many. We have delivered on an excessive cost reduction plan. Workforce have been reduced, while at the same time, our workload has been high. Our investors have seen the value of the shares going down in a difficult capital market environment. Over the past few months, I have read many news articles about the crisis in Vow. I think that depends on the definition. Our long-term shareholders have certainly had a difficult time. The same goes for many of our employees. Impressive -- I would say, impressive in all this are the efforts made by our team to deliver on their daily tasks, ensure progress in projects, keep our promises to our customers and win new orders. I will use this opportunity to send out a big thank you to all our employees and to our customers that are loyal and standing behind us, giving us more orders. Vow is a fantastic company, which I'm very proud to helm. I'm pleased to say that we are now at an important turning point. We are these days completing our comprehensive financial restructuring based on a rights issue, a shareholder-friendly way, fully underwritten by a group of respected investors who have committed NOK 250 million in new equity to Vow. Yesterday, the subscription period started, and by Christmas, well, we'll have a much stronger balance sheet on which we will build success. And with these words, it's time to take a closer look at our third quarter performance. Today's presentation will cover these 4 topics. Two of them about the market and two of them about the business. The cruise industry is getting stronger. Third quarter, Royal Caribbean, as one of the big shipowners in this industry, delivered their best performance ever since they were established back in the late '60s. The cruise industry is strong, and we have a large pipeline that we are delivering on and the prospects looks very good. Industrial Solutions, you have seen lately that we have announced front-end engineering design contracts for significant projects. It's a good sign. And we also have a legacy business within Industrial Solutions, heat treatment, that has a strong performance. Business improvement, Tina. We're working to improve our margins and we are taking out costs. And we will give you an update on those measures. And important, we're strengthening our balance sheet. This is the key figures of the third quarter. You see the growth. It's a 7% growth from last year. I will, in the following slide, talk about the different segments. But you see how they develop. This is the third quarter in a row we have a positive EBITDA. And if we compare to the year-on-year, it's almost NOK 34 million better EBITDA. So we are getting back to better performance. Our backlog is at NOK 1.1 billion leaving the third quarter of firm orders, and we have options on top of that. We have previously talked about the options coming down. I would say it's a restart in the cruise industry. Shipyards have been able to negotiate new contractual terms and reset the prices because of the inflation we have experienced the latest years. And that's an opportunity for us, we got the old options out and those will be replaced with new orders with better terms and conditions. Okay. Let's look at the different segments that we're reporting in. And we start with the cruise industry, the Maritime. This is looking at all the key figures down on the right side, it's 35% of our revenues. 34% of our gross margin, so the gross margin contribution from this business area is 34% of the total business. Backlog is NOK 828 million. It's NOK 268 million higher year-on-year. Revenues almost at the same as we had last year, NOK 93 million. Gross profit, NOK 24.8 million, that's NOK 19.4 million stronger than last year. EBITDA coming in at NOK 13 million, NOK 28 million higher. And that's a 14% EBITDA margin. So we are getting back. We're getting back with stronger margins. In the third quarter, we converted 1 option into 1 firm order. It's the biggest contract we've had in this space. It's a EUR 14.5 million contract. It also demonstrates that our contracts are getting bigger, more sophisticated, more systems included in our scope. Not only do we do wastewater purification and conventional waste management, we also do waste valorization onboard ships, converting organic waste into renewable gas used for steam production and producing carbon storage, stable carbon. Those contracts are getting bigger for us. Year-to-date, we have had an order intake of NOK 600 million new contracts. And if you look at the graph -- or the bar chart on the right side, you see the dark colored are the ships entering services from the shipyards all the way from '24 until '28. The dark colors are the contracts we already have. We are these days tendering more than 30 cruise ships. Those are the gray colors, meaning that I just explained dynamics of it. When we today -- when they're today leaving 8 ships from the yards with Scanship equipment on board, we had most of the revenues back in '22 and '23. So it means that when we are now signing up new contracts for '27 deliveries, it will be revenues for us in '25. It would look like that we're going down from 10 ships delivered from shipyards with our equipment on in '25 to 6 ships in '26, but those contracts are larger. Those contracts are substantially larger than the ones in '24 and '25. So the market is good for us. And we have historically had 60% of the market. So among those 30-plus ships that we are today tendering, we expect to receive a significant part of that volume going forward. So the pipeline is good. And the business area is developing good and we're getting our margins back. Aftersales, the life cycle services that we provide to cruise ships in operations, increasing with the installed base, more ships coming out with our systems on is converted into orders to provide consumables, operational systems, chemicals, et cetera. On the right side, you see the buildup over the last 12 months rolling. And you see that number is about to hit NOK 200 million when we look back 12 months from the third quarter. This is 20% of our revenues, 22% of our gross margins. Our revenues are NOK 52.5 million in the third quarter, it's almost the same as we had year-on-year. Gross profit NOK 15.6 million. EBITDA NOK 6.4 million and has an EBITDA percentage of 12.2%. It's not good enough. This is a business area that we are working to improve margins. We provide a service to the shipowners that is attractive. We have a high penetration. We have delivered or we have basically equipment on 183 ships today out there in the industry. 46 of these ships are operated by and owned by Royal Caribbean Group. 34 of them are owned and operated by Carnival Corporation. NCL carries our equipment on 32 ships. MSC have 33 ships with our systems on board. And those 4 players are more than 95% of the berth capacity in the industry. But of course, they represent a market that is recurring for a while, and we will grow with it. But of course, we are not satisfied with today margins and we're working to improve them. Industrial Solutions, that's today 45% of our revenues. 44% of the gross margin contribution to the group. If you actually look at the year-to-date, it's 48% of the gross margin contribution. So it's definitely a significant area for us. And this was the strategy we made back in time, to move into new industry verticals to grow the business. But it has taken some time, but I would say that we have good progress. Half of the business is from the legacy business in heat treatment that is performing well. I would say, solid performance Fredrikstad. But of course, also here we have taken out costs. We have had too much costs, too much capacity. And we have restructured, and Tina, you will come back more to that. So that has been important for us to do. We are having now a backlog of NOK 276 million. You see this is lower. It's almost NOK 259 million lower than the backlog we had a year ago. So it means that in this business area, we need to be able now to enter into a new contract to build that order book. And we have, during the third quarter, announced FEED contracts. A FEED contract is a contract that we are awarded front end before a customer makes their final investment decision. It's an extensive engineering work required to determine the cost of the scope of work and the cost of it and also to have sufficient documentation in order to get permits. The good thing here is that we have customers that are willing to pay us for this, and we are working exclusively with them. And now we are working with a FEED contract for Murfitts Industries owned by ETEL Itochu. We talked about that previously about their quest to build capacity in Europe for converting end-of-life tires into recovered carbon black for the tire manufacturers and also pyrolytic oils for the petrochemical industry. So now we have a FEED contract for the first plant. We're not going to disclose where that plant will be, but soon it will be disclosed. So that means that it's moving along. We have great progress in the field and it's moving along to a potential final investment decision, and that means an order to us. We're also working with a FEED for a client that has the ambition to process sewage sludge in order to eliminate PFAS, the forever chemicals. That's a FEED contract that we have been working with for a year. And I think that contract will -- that has now -- it's more than $2 million now. And we have -- we're working now on the permits. So it's progressing well. It's also a project that can be converted. But again, this is customers that are willing to pay us $2 million, $3 million in order for them to make their financial investment decision. So now these FEED contracts are important for us because it makes us focus and to work with those committing to a project. And of course, we believe that the likeliness of us building up the backlog, it's larger than ever before. Our revenues for the business area came in at NOK 122 million. 11.2% higher than last year. Gross profit, NOK 32 million. EBITDA, NOK 5.6 million. Our EBITDA percentage, 4.6%. This is not good enough. There are some effects, Tina, you can talk about, some one-offs in the quarter. But still, it's, for us, a business area with a huge potential. And today, 45% of other revenue for the group. And of course, I will finish off saying that the Rhode Island biochar plant is well underway. It's is a very sort of similar project as we're delivering to, I would say, Europe's largest biocarbon production facility at Hønefoss in Norway with VGM. So there's a lot of lesson learned that we apply now in the U.S., and it receives a lot of attention. But again, we're working to build up the order backlog and we will sort of carefully monitoring our capacity within these business areas in the coming months. Tina, I will give you the words to go through, let's say, the extensive -- or excessive plans we have executed on.
Tina Tonnessen: Yes. We have continued to deliver on our cost improvement program during the year. So year-to-date, we are down 16% on our operating costs and employee expenses. That's NOK 33 million down compared to the same period last year. And we reiterate our target of reducing our operating and employee expenses by NOK 40 million to NOK 50 million for the financial year 2024 compared to 2023. So main actions that we have taken is that we've done temporary layoffs in Scanship. This is gradually being reversed throughout the year as we have picked up activity level. We have also restructured our subsidiary in France. And we will continue to maintain this cost focus going forward by improving the margin that we have in the new contracts that we're tendering and also strengthening our sourcing and procurement activities. We continue to have a high focus on working capital to strengthen our cash flow and also maintain a disciplined approach towards new investments. So let's do a quick recap of the segments and development year-to-date. We will focus on the year-to-date numbers as last year is not that good of a comparison and the developments during Q3. So for Maritime, it's delivering stable. We have a -- we expect the margin to gradually improve as we finish off some of our older legacy projects in the portfolio and also secure new contracts. Our year-to-date gross margin was 23%, up from 21% during the first half. And we delivered a gross margin of 27% for the Q3 2024 stand-alone. For Aftersales, we have continued to grow the top line. We have taken measures to improve the margin. So year-to-date, the gross margin is 28%, up from 27% during the first half. And in Industrial Solutions, we delivered strong within heat treatment. We have delivered on 2 main projects during the quarter, which is the Rhode Island project and also the VGM contract. We have, unfortunately, done an update to our cost prognosis for the -- for one of our largest contracts, which has resulted in a negative gross margin effect of NOK 12 million for the quarter. So the year-to-date margin is 38%, down from 47% during the first half. And the gross margin came in at 26% during Q3. Let's look at the group financial figures. So the revenue has increased 7% compared to the same period last year, year-to-date. We've gone through the development in the gross margin for the segments, and with administrative costs of NOK 25 million year-to-date and the cost improvements that we've done, we've ended at an EBITDA before nonrecurring costs of NOK 44 million. This represents a margin of 5.9%, which is up from 5.4% for the first half. The nonrecurring costs that we've had so far this year is mostly related to the restructuring of our French subsidiary. Our net financial items are up compared to the same period last year due to increase in interest costs and this also includes our share of the net profit from our associated company, Vow Green Metals. Note that the P&L does not include any fees related to the ongoing rights issue. This is accrued on our balance sheet and will be booked towards equity when we receive the proceeds. Moving over to our balance sheet. There's 2 main developments that we want to mention and that we also keep a very close eye on, and that's the working capital development. So net working capital is down compared to year-end 2023. We experienced a slight increase from the first half of the year mostly related to our large ongoing contracts within the Industrial segment. And the balance sheet does not include the rights issue. But related to the rights issue, we've also secured a liquidity bridge of NOK 125 million. As of Q3, NOK 75 million was drawn and is included in our interest-bearing debt of NOK 617.5 million. This is a short-term facility, which will be fully repaid once we receive the proceeds from the rights issue. We also received an amended covenant agreement. And in Q3, we were in compliance with all covenants. And lastly, our cash flow. We increased our operating cash flow to a positive NOK 77 million year-to-date. Most of our cash flow or large parts of our cash flow has been used towards debt service this year. So year-to-date, we have repaid NOK 120 million on our term loan facilities. This is offset by increased interest costs and also the drawn amount that we have on our liquidity bridge. Our investments year-to-date amount to NOK 41 million, and it's significantly down compared to historical levels. As we've said previously, we have successfully completed a lot of our R&D projects and we've also moved R&D resources over to project execution. Our cash balance at the end of Q3 ended at NOK 15.2 million. And note that in addition to this, we also had available undrawn credit lines, which was related to the liquidity bridge and the undrawn amount on overdraft and trade finance facilities amounting to NOK 94.4 million. So yes, I think I'll leave it over to you.
Henrik Badin: Thank you, Tina. So let's conclude. Before we conclude, we are -- we can give you some update on the measures we are doing to strengthen our balance sheet, about the rights issue and key dates and important milestones. So let's sort of look back of important events. We obtained an amended bank facility or renegotiated with the bank in August. And doing that, it was subject to us raising NOK 125 million of new equity. We did test that in the market. We reached that to NOK 150 million in a private placement. And in the capital market environment, it became difficult, I would say. But the 27th of September, we announced we were successfully announcing a fully underwritten NOK 250 million rise issue. Means that we are guaranteed NOK 250 million from a guarantee consortium. And on 19th of November, in our extraordinary general meeting, we approved the issuing of 166,666,666 new shares in Vow. And the last day of trading was on Thursday. That includes the subscription rights. And now, yesterday, the subscription period started when the stock exchange opened. The 3rd of December will be the last day of trading the subscription rights, meaning that all the existing shareholders on the 20th of November received subscription rights, was it 1.46 shares or rights for 1 share. And you can trade these all the way until the 3rd of December. And the 9th of December is the last date to purchase the shares at NOK 1.5. The 10th of December, there will be a notification of the allocations. Then we will see basically how the share distribution will be and who will become the major shareholders of Vow going forward. And Tina, I guess, the 12th of December is the day that you look forward to. That will be the due date for the payment of all offered shares. And the 19th of December, you will receive -- those acquired will receive the shares. Of course, we have issued a prospectus. So there's sort of all the information provided there and we have also updated this on our web page. So Tina, perhaps you could talk a bit about the use of proceeds in the issue.
Tina Tonnessen: Yes. Well, as previously announced, use it to improve our liquidity position and also to strengthen our balance sheet in the form of debt repayments. And also we've obtained improved covenant headroom. And note again that the remaining main debt repayments left is the liquidity bridge. So yes.
Henrik Badin: Okay. So there will be information about this also on our web page, as I said. So this is very good. And by the end of December, we have raised NOK 250 million, and as I said in my opening statement, will be important in building our future success. So again, we are -- to conclude, we are working our way back. We are fortunate to have a solid position in a strong cruise industry that is getting stronger. Industrial Solutions, we are progressing well. It's a large part of our business. We just have to make sure that we are now winning these new contracts. The business improvement that we have been doing has taken out costs. We have stronger margins in our new orders coming in. It's good for business. And of course, in the capital environment we have been through, we have been able to run the business, but we're also very pleased that we were able to raise capital. So with those words, I would like to thank you for attention and open up for some Q&As.
A - Unidentified Company Representative: Thank you. And as usual, I think we'll start with questions from the audience. Please raise your hand and state your name if you have any questions. All seems clear here in Oslo. We'll then turn to questions on -- from our online audience. And the first is related to possibility of American import tariffs. What a potential 10% to 20% tariff would have to say for Vow. Can you comment on that?
Henrik Badin: Of course, we have an ongoing contracts in U.S. The green development project is an example of that. It could potentially have an impact on contracts. But on the other side, we have, ever since we started that project, looked at sourcing in U.S. We have been negotiating with suppliers to take on production of our systems in U.S. compared to what we're doing today in Europe. So I think there's a way around it. And I wouldn't say the discussions we have with our customers is positive in that sense.
Unidentified Company Representative: There are several questions about the cruise segment. First is you say cruise orders are getting bigger. What can you say about the expected combined value of the cruise contracts that you're currently bidding?
Henrik Badin: I think that the EUR 14.5 million contract that was awarded now in the third quarter is echoing sort of the size of the contracts going forward. Of course, that is a ship carrying nearly 9,000 people. Of course, not all of the ships are that sized. But historically, the contracts we're at around EUR 40 million to EUR 50 million before. So some of these contracts are 2 to 3x larger.
Unidentified Company Representative: So Eva Christensen from Clarksons also has a couple of questions related to cruise. First is what are your thoughts around the margin outlook for cruise in 2025? And how does your improved payment structure look like for the cruise contracts? How much do you receive upfront in the new terms that you're negotiating?
Henrik Badin: Tina, perhaps you would...
Tina Tonnessen: Yes. Well, we expect the margin, as said, to gradually improve as we deliver or finish our more older contracts in our backlog and also secure new contracts. On the payment terms, we've increased the use of, for example, guarantee lines, which improve the upfront payment that we can get early on in contract. Other than that, we don't comment on specific payment terms in the contract. But that's what we can say and the actions that we've taken.
Henrik Badin: Yes, yes. So the result of it is improved margins and better payment terms.
Unidentified Company Representative: Eva Christensen has some follow-ups related to the Industrial Solutions segment now. First is related to the cost forecast adjustment in the quarter. Why was this not adjusted for during the cleanup of the other contracts? And do you expect to make similar adjustments on other projects?
Henrik Badin: If I may elaborate a bit on that. We are working with large projects and we're working with cost prognosis. Sometimes, there are changes to that. And of course, it was also unfortunate that you had that cost increase in the green development project. But still, we feel that the insight we have in the project now that we expect that was sort of a one-off. But it's, of course, they are large advanced complicated contracts.
Tina Tonnessen: Yes. It leads to a temporarily reduced margin for Q3 when we make adjustments like that. So as we can see from the year-to-date margin, that's improved margin.
Henrik Badin: But we are getting better. We're getting better at it.
Unidentified Company Representative: And considering Industrial Solutions is almost half of your revenue and gross margin contribution, how do you plan to continue to grow that business without new large orders in the segment?
Henrik Badin: Can you repeat that question?
Unidentified Company Representative: Considering Industrial Solutions is almost half your revenue and gross margin, how do you plan to continue to grow this business with new large orders in this segment -- without new large orders.
Henrik Badin: No, of course, we cannot grow it without new orders. So we are working on that. And as we tried to give an insight on, we have FEED contracts that are pretty advanced now and likely to be converted into new orders. So we will -- we're working with it and we are closely monitoring it, so to speak.
Unidentified Company Representative: And there is a follow-up from Eva Christensen on that as well. What you can say with regards to timing of potential firm orders on those FEEDs.
Henrik Badin: We couldn't be exact specific on the timing of it. But some of these FEED contracts we have been working on for a while and they are progressing well.
Unidentified Company Representative: Okay. There are no further questions from the online audience, and just one final check here. In Oslo, it seems we're all clear. Thank you so much. Handing back to you, Henrik.
Henrik Badin: Okay. Again, thank you so much for the attention and your interest in Vow.